Carolina Stromlid: Good morning and a warm welcome to the presentation of Tobii's Q1 2025 Results. My name is Carolina Stromlid and I'm Head of Investor Relations. With me today I have our CEO, Anand Srivatsa; and our CFO, Magdalena Rodell Andersson to walk you through the highlights of the quarter. After the presentation, we will open up for questions either posted in the chat or asked live. With that let's kick off today's presentation.
Anand Srivatsa: Thank you, Carolina and welcome again everyone. Q1 2025 was a solid quarter where we continue to demonstrate sustained progress towards profitability. I am particularly pleased that all of our business segments helped contribute to this improved performance. This was our best ever Q1 result with our first positive EBIT in Q1. The improved profitability comes from reasonable top line growth and is significantly supported by the cost reduction actions we have been taking since last year. We are expecting to meet the goal that we've set out in July last year around cost reductions and you will hear more details of cost reductions about the cost reduction program when Magdalena goes through our detailed financials. The focus on cost reductions has helped us improve our cash flow where we see significant improvement on a year-on-year basis in Q1 2025 versus the same period last year. We continue to be hyper-focused on our cash situation and we have multiple actions in play to continue to strengthen our position as we go forward. In the quarter, we also saw some early results from our ongoing strategic review with the divestment of some non-core patents in the quarter. This quarter was also marked with significant macro uncertainties. But thus far, I'm happy to see that most of these issues have had a limited impact for us in the quarter thus far. We believe that this situation continues to merit us to monitor the situation and take corrective actions as needed. Now, before we jump into the detailed financial results, let's talk through how Tobii is organized and remind you of our different business units. Tobii is organized into three different business segments each of which are at a different level of maturity and scale. The Products & Solutions and Integrations business segment are more mature and expected to get to profitability in the nearer term. On the other hand our AutoSense business is in an investment phase and we expect it to be in an investment phase for the foreseeable future. Now, in Q1 2025, our Products & Solutions business, which delivers vertical solutions to thousands of customers across the world from universities to enterprises to PC gamers, this particular business unit represented 52% of our overall revenue for the quarter and delivered an EBIT of minus SEK12 million. This was an improvement over last year largely supported by the cost reduction actions we have been taking in 2024. The Integration business services customers who integrate Tobii solutions into their own offerings. And in Q1, this business represented 41% of our net sales and delivered the fourth straight profitable result. The AutoSense business is our focus on delivering driver monitoring and occupancy monitoring systems into automobile OEMs and Tier 1s. In Q1, this business represented 7% of our overall revenue and we saw an EBIT result of SEK24 million negative, which is better than last year. Again, this improvement is notable because when we compare with the period last year, the Automotive business only had two months' worth of the increased costs related to the acquisition of the FotoNation business. So, this improvement I think is quite notable for this business as well. Again, as I mentioned before, I'm quite pleased that all of the three business segments continue to contribute to our improvements in profitability and cash flow. And with that, I would like to hand it over to Magdalena to describe the detailed financial performance for the quarter.
Magdalena Rodell Andersson: Thanks Anand. So, yes, as a financial overview, I'm happy to be able to say exactly what is stated on this slide that is in Q1, we significantly improved our cash flow compared to Q1 last year and we had a positive EBIT of SEK12 million or a 6% EBIT margin. We grew net sales both in total and organic. And in more detail, total net sales growth in the quarter was 23% and organic growth was 5%. So, what was the difference here in between? Well, last year after having made the acquisition of FotoNation on the 1st of February, we talked about an acquired revenue stream within the segment integration that was to end in 2025. This revenue stream of SEK25 million now in Q1 has been excluded from the organic growth. In Q2, we will have the same amount as now in Q1. And after this this revenue stream will end. Therefore, we have a total growth of 23% where the organic growth is 5%, currency is minus 1%, and non-recurring revenue is 18%. The gross margin in the quarter was 77% compared to 74% last year and this is due to a mix shift between the segments. And then EBIT was positive in this first quarter, plus SEK12 million an improvement with SEK86 million compared to last year's minus SEK75 million. The improvement between those two quarters was a combination of higher net sales and lower costs. When we compare this quarter with Q2 and Q3 last year, where the top line is more similar to this quarter, we see the effect of the cost reductions even clearer. And to continue talking about cost reductions, in Q2 last year, we launched a cost reduction program targeting a reduction in cash-related operational expenses by SEK200 million over the coming four quarters, when comparing with Q2 2024, which was the first quarter where the acquisition was consolidated for a full quarter. This was going to be accomplished through three different workstreams. First, an optimization of our product portfolio investments, second, increased efficiency and streamlined operations across all functions; and thirdly, realizing the acquisition synergies. We have continuously been working on all three workstreams. And at the end of the year, we had lowered the cost by SEK73 million accumulated for Q3 and Q4. Now, in Q1, the cash-related operational expenses are SEK93 million lower than in Q2 last year. This means that this quarter's cash-related operations pace is over 30% lower than in Q2 last year. And in practice, it means that we have reduced the number of FTEs by around 300 since the peak after the acquisition. From a program perspective, the accumulated cash-related cost cuts after three quarters were SEK166 million, meaning that we are well on our way to reaching the goal of reducing costs by over SEK200 million on a yearly basis. The results coming up in Q2 will not be the end of cost reductions, though; initiatives already taken during the fall and additional initiatives taken now during the spring will continue to drive the cash-related cost base further down when we enter the second half of the year. And so, going over to the segments; Products & Solutions had an organic net sales decline of 8%. In Asia, where demand was weaker last year, we saw improved demand. Europe was somewhat reserved, and Americas was clearly negatively impacted by uncertainty related to academic funding. The gross margin in the quarter was 62%, compared to last year's 64%, and was impacted by a combination of mix and volume. EBIT improved from minus SEK23 million last year to minus SEK12 million this year, thanks to the implemented cost reductions. This is a development in the right direction, although not good enough, and thus, the cost reductions will continue, as previously mentioned. Integrations' net sales grew in total by 87%, of which the organic growth was 23%. As mentioned before, the difference came from acquired image-related revenue, which will end after Q2 this year. The gross margin in the quarter was 91%, compared to 96% last year, and the difference is due to mix. EBIT in the quarter was SEK48 million, an improvement of SEK61 million versus last year, thanks to a combination of higher sales, divestment of non-core IP, and lower costs. And the AutoSense segment had net sales of SEK14 million, compared to last year's SEK7 million, which corresponds to an organic growth of 114%. The gross margin in this segment was very high and will continue to be so since license revenues will be met with costs from depreciation, and change requests will be met with R&D costs. The EBIT was minus SEK24 million in the quarter, compared to last year's minus SEK38 million, an improvement even though last year only contained the acquired AutoSense business for two months, and this year for the whole quarter. Also, this improvement is thanks to a combination of higher sales and lower costs. And then, the balance sheet and cash flow: The free cash flow after continuous investments was minus SEK14 million in Q1, which was a significant improvement compared to last year's minus SEK115 million. Again, this is done through a combination of higher net sales and lower costs. We end the quarter with a cash position of SEK89 million. In addition, we have an unused revolving credit facility of SEK50 million, which has been prolonged during the quarter. With the lower run rate of costs, the continued work to reduce costs even further, the discussion with certain customers to advance orders, in combination with the review of our product portfolio, where we have identified certain assets for potential divestment, we are confident in solid progress towards financial stability going forward. And with that, over to you Anand.
Anand Srivatsa: Thank you, Magdalena. Now, I want to spend a few minutes talking about our AutoSense business segment. We have, of course, made a lot of progress in this area over the last year and also in Q1. And I want to share with you some details of that progress and how we are progressing on our journey to become a leader in automotive Interior Sensing. Now, in Q1, we marked the completion of the first full year after the acquisition, and I'm really pleased to see that we have now fully integrated the acquisition. We are already starting to realize some of the synergies we expected from the acquisition, both in terms of cost reduction, as Magdalena has noted, but also in our ability to deliver a more comprehensive roadmap and offering to our customers. In Q1, we took some further additional steps in terms of building our credibility as a leading interior sensing provider. Our ongoing OEM programs advanced steadily in Q1 towards start of production, which is expected in 2025, the second half of this year. As part of that, we received EU homologation for our DMS offering for a commercial vehicle program that's going to go into production in the second half, and we also received ASPICE CL2 validation for our single-camera DMS program with a leading German OEM, which is also expected to get into production in the second half of the year. We are expecting that these high-volume passenger car models with the single-camera DMS/OMS will help to continue to build the footprint of our technologies that we can demonstrate in vehicles on the road. As I mentioned before our journey on the AutoSense side is very much to become a leading player in this space and a strong aspect of customers choosing our solutions is our ability to demonstrate that we can take our technology from design wins into vehicles on the road and pass through the OEMs rigorous testing and validation procedures. Tobii solutions have been on the road since 2019 on driver monitoring systems as well as occupancy monitoring systems. And as of the end of Q1 2025, we now count over 700,000 vehicles on the road with our technologies. We expect that this number will further accelerate as our solutions get into high volume passenger cars in the second half of the year. That's the AutoSense overview. Now let's take a quick summary of where we stand in Q1 and our outlook for the rest of the year. Now as mentioned before, Q1 was a strong quarter with Tobii continuing to demonstrate our solid progress towards our path to profitability and financial sustainability. We delivered this result despite the fact that we are in a dynamic macro environment. But so far we have seen limited impact from this. Some of the impact we saw was related to academic funding changes in the US in Q1. And, of course, we are still working through the impacts of the tariff regimes. But I'm quite happy that thus far we've seen limited impact and I believe that we have the right tools to mitigate continued changes. But, of course, this situation warrants further monitoring. Now our improvements in profitability so far through the year in Q1, 2025 have been greatly supported by our cost reduction efforts. We are well on track to meet the goals of the cost reductions we announced in July last year. And again we're not standing pat here. We continue to go and drive further cost reduction actions that will incrementally improve our cost basis in the second half of 2025 and beyond. At the same time, we continue to focus very much on our cash position and we expect that we will have a strengthened cash position in Q2 as we evaluate opportunities to work with our customers to advance orders and in some cases pre-purchase units. This activity we expect will help support our short-term needs for cash to address liabilities that come up in Q3 and Q4 this year. At the same, time we're happy to see early results of our strategic review, which we continue to engage on, which we expect will help us strengthen our cash position for the mid and long-term. With that, I'd like to wrap up the presentation and open it up for Q&A. Carolina?
A - Carolina Stromlid: Yes. Let's start with the first question. Can you elaborate on -- we expect a strengthened cash position in the second quarter, driven by the recent progress and further supported by anticipated agreements with larger customers to advance orders?
Anand Srivatsa: Absolutely. Again when we look at the overall cash position as we have continuously discussed, we have multiple tools that we are putting into play. One significant portion of that is around cost reductions that are starting to impact our cash position already. At the same time, we've talked about the fact that we are implementing a strategic review to evaluate if there are portions of Tobii that could be divested to strengthen our cash position. We saw the early results of that in Q1 with the divestments of some non-core patents that we were able to achieve in Q1. We will continue to push forward with that through the second half of the year looking at other opportunities to go and find ways to strengthen our mid to long-term cash position. At the same time, of course, we have long-standing relationships with significant customers and we have been in conversations with several of them to go in and look at advanced payments or early purchases in Q2 to help us strengthen our cash position to address our near-term liabilities in the second half of 2025.
Carolina Stromlid: Thank you. The next questions come from our analyst Erik Larsson at SEB. Can you break down the SEK29 million of other operating income and expense?
Magdalena Rodell Andersson: Yeah. The part of the SEK29 million is the SEK15 million of selling the non-core IP. Then we have a large portion of FX. And then we also have a portion of costs that now are rather an income that has been moved from the cost base to the other income because of technicalities and that's SEK6 million and the rest is FX. Did you follow that? I felt I was a bit unclear. SEK29 million minus SEK15 million is the IP, SEK6 million is a cost that has been incurred before and rest is FX.
Carolina Stromlid: His next question is did you incur any restructuring costs and under, which line item?
Magdalena Rodell Andersson: We had some in Q1 but they were too small to mention. It was a couple of million in Q1. And it could be on any line item because it's related to reductions of people.
Carolina Stromlid: And we have a number of questions from our analyst Daniel Djurberg at Handelsbanken. So I'll start with the first one. You had NRE revenues of SEK 52 million in integrations. Q2 will be the last quarter with NREs from the FotoNation acquisition. How large NRE should we expect in Q2?
Magdalena Andersson: Good question that I will not be able to answer and I don't think we normally answer either we don't separate in beforehand regarding NREs and not NREs.
Anand Srivatsa: I think what we've typically talked about with integration is we know that there is a significant portion of the revenue in that business segment that is related to project revenue. That tends to be lumpy. We tend to recognize it when we meet certain milestones. So I think again we don't typically provide expectations of what that revenue is like going forward.
Carolina Stromlid: His next question is related to AutoSense. It seems like you need to at least triple AutoSense quarterly volumes to meet breakeven. Is this a correct assessment? And when should we expect that the single-camera DMS/OMS solution will be approved and ready to support this?
Anand Srivatsa: I would say that of course from a high-level perspective, our AutoSense business segment revenue is broken up into both license revenues, which we continue to get from solutions that are shipping on the road. That's sort of what we've been reporting so far. At the same time there is a significant amount of the revenue that's related to non-recurring engineering expenses that are typically tied to OEM integration programs or integration programs that we are working on now. So as we think about the development of the AutoSense business segment in the long-term of course we expect the majority of that business will be supported by license revenue but we will continue to see growth on that NRE side. And of course that will be part of how we get to breakeven and beyond in the business. Now to the specific question of – what was the second part of the question?
Carolina Stromlid: Single-camera...
Anand Srivatsa: Single-camera DMS/OMS readiness. So again, we've talked about the fact that this particular program is expected to get into production in the second half of the year and we continue to demonstrate the maturity of that solution reaching things like ASPICE CL2 validation for example. So I think that we are starting to get to the final stages of where we will see the next set of regulatory approvals and of course, the final instantiation into start of production. We won't specifically speak to the timing of the OEM start of production beyond sort of giving the second half guidance. But so far we're quite confident that that will get there. And of course from a Tobii perspective, the validation that our solution has gotten all the way through this testing cycle and into cars on the road we think that will be significant momentum for us to continue to win additional business.
Carolina Stromlid: His next question is related to financing. How come you didn't expand the financing revolver to say at least to SEK 100 million to secure your financial stability. You still expect to pay around SEK 80 million in tax relief front in Q3?
Magdalena Andersson: Yes. Of course, we are looking into all options. And right now we are very happy with our revolving credit facility and the partnership with the bank that we have and we are happy to continue to have that. But of course we are always looking into all options as Anand pointed out to see how we can strengthen our financial capabilities and financing could be one also.
Carolina Stromlid: His final question is can you give some more details on the patents that were divested during the quarter for SEK 15 million?
Anand Srivatsa: As we mentioned again, we have been undergoing a strategic review where we look at opportunities for us to divest certain assets to go and strengthen our cash position. In this quarter, we were able to divest some non-core patents. These are patents that we acquired as part of the FotoNation business. So we were able to go and divest that in Q1. And again, we will continue to evaluate other opportunities like this going forward. And this is part of, how we expect to go and strengthen our cash position for the mid- to long-term for the company.
Carolina Stromlid: Then, we have another question. What impact do you expect from the new CFO?
Anand Srivatsa: Again, I think Magdalena, has been my partner here for several years. So I think she leaves quite big shoes to fill. At the same time, I think that we are demonstrating very solid progress and I expect that our new CFO will continue to be hyper-focused on supporting our path to profitability and financial self-sustainability. And so, I expect very much that we will continue to have a very professional partner in this area, very much focused on ensuring that we meet our external expectations and secure the future for the company.
Carolina Stromlid: The next question is, please elaborate on the competitive landscape for the different business units.
Anand Srivatsa: Again, I think the competitive landscape for the three different business segments are quite different from each other. On the integration side, we feel that we are quite unique in what we offer. If you consider our solutions going into the wearable space, we are practically the only third-party company that has demonstrated the ability to get solutions integrated into production units. We also have very clear reputation and technology know-how that is valued by the largest companies in the world. In many cases, the competition for us in this space isn't really other third-party companies that offer our kinds of solutions. But in many cases, it's of course the largest technology companies in the world that also have some in-house capability. If you look at sort of the integration business from a screen-based perspective, we are absolutely unique. And again, there we are in a leadership position and in a great position to take advantage of the growth of eye tracking and the needs of more personal experiences with these kinds of devices. In the Products & Solutions segment, we are the leader in the space. There are smaller companies that also offer these kinds of solutions into universities for research or into enterprise application sets. Again, the brand value that we have is highly supported by the fact that we are the number one type of device used by academics for research. This is supported by the number of publications that cite Tobii, as their experimental method. And we of course have the brand and reputation that we're able to turn these signals into insight for enterprise customers. So, again, as we expect that the applications of eye tracking expand whether it's through consumerization of the technology or through just more use cases coming up, we think the Products & Solutions business also over time we will see more potential customers and we should be in a great position to harvest them. The AutoSense business is a little bit different. There it's a much more crowded space and we are a challenger in that environment. Again from the AutoSense perspective, there are three major domains in terms of technology. There's driver monitoring systems, where we would say that we are today a number three player, but there is an entrenched set of incumbents that we are competing with smart ICE [ph] machines. In the occupancy monitoring space, we believe we are number one in the space demonstrating that our technology has been shipping in vehicles on the road since 2021. And we also believe that we are in a leading position, when it comes to the most cost-effective way to meet both market regulation requirements, as well as user experience needs from the OEM. And this is our single-camera DMS/OMS technology, which should go into production in the second half of the year. And again with the totality of this, we believe that today we are the number three player in automotive interior sensing when you think about the three separate domains in combination, but we really feel we are well-positioned to move that from that number three position into a leading position as technologies like single camera DMS/OMS become more prevalent.
Carolina Stromlid: Thank you. And that concludes the Q&A for today. Please feel free to reach out to us, if you have any further questions. Thank you all for joining us today and we look forward to seeing you again on August 28, when we release the Q2 results. Thank you.
Anand Srivatsa: Thank you everyone.
Magdalena Rodell Andersson: Thank you. Bye-bye.